Jeffrey Spittel: Good day, and welcome, everyone, to FREYR Batteries Second Quarter 2021 Earnings Conference Call. With me today on the call are Tom Jensen, our Chief Executive Officer; and Steffen Foreid, our Chief Financial Officer.
 During today's call, management may make statements related to our business that are forward-looking under federal securities laws and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations.
 For a discussion of material risks and other important factors that could affect our actual results, please refer to our filings with the Securities and Exchange Commission, which are available on the Investor Relations section of our website and the earnings press release issued earlier today. Additional information will be made available in our quarterly report on Form 10-Q for the quarter ended June 30, 2021, and other reports that we may file with the SEC.
 With that, I'll turn the call over to Tom. 
Tom-Einar Jensen: Thank you, Jeff, and good morning and good afternoon and good evening wherever you might be calling in from here from Norway.
 We'll start today's agenda on Slide 3. So turn to Slide 3, please. I'll begin with some key priorities, cover the Q2 highlights, market overview and business update. Our CFO will walk you through the finance part before handing it back over to me for some concluding remarks ahead of an extensive Q&A.
 Next slide, please. My main message today is that FREYR is progressing significantly towards our ambition of becoming a global champion in clean, next-generation battery solutions. The market backdrop for decarbonized battery cells have never been stronger, with the IPCC earlier this week sending out an urgent request to the global society to speed up electrification globally, not only on transportation, but also on energy systems worldwide.
 Clean battery solutions is the core catalyst in the next decade for that decarbonization and FREYR has the most compelling value proposition in this regard. We are going to maximize speed and capacity build-out. Our core strategic tenets are those of speed, scale and sustainability. And we believe with the market backdrop we're in, that we're in a fundamentally strong position. We have an ambition to build 43 gigawatt hours by 2025, as indicated to our investors in our capital raise earlier this year and 83 gigawatt hours by 2028. But we aim to go beyond that to between 100 and 150 gigawatt hours by 2030, and we are announcing today additional steps to get to that point.
 Next, please. We are now very much focused on executing on our business plan and our promises. The first and utmost priority in this regard is to generate commercial wins by securing offtake agreements across electric vehicles, energy systems, storage and commercial mobility market.
 We fundamentally understand how important it is for us to establish revenue-generating channels as quickly as possible. But we also are in a fortunate situation that we can optimize our customers for value. We are now in multiple commercial discussions with an increasing number of customers who have increasing demands for battery cells in a world that is urgently in need of decarbonization.
 To deliver against this ambition, we need to build our operational foundation and building our operations is a core strategic strength for FREYR. We recently announced the development and the final investment decision of our Customer Qualification Plant in Mo i Rana. This is a fundamental step to enable the commercialization of our game-changing technology that offers superior commercial performance and yield performance relative to conventional technology.
 Our commercial and operational plans are, as mentioned, optimized for value, and that's imperative for our shareholders. We take our obligation as stewards of shareholder capital very seriously. And therefore, we are now high-grading our customer portfolio. We are evaluating whether we can combine the 2 first factories with a more modular rollout of capacity adapted to specific customers, again, to optimize the margins that we can get from our facilities. So the general Gigafactory configuration optimization and the commercial, let's say, adaptation to that is core to FREYR's continued growth and commercial success.
 Next, please. Year-to-date and the second quarter highlights include a number of different aspects, and I'm highlighting the most recent ones here. The obvious one for our investors is that we went public on the New York Stock Exchange and completed the business combination with Alussa Energy on July 9, raising a combined total of $704 million in gross equity proceeds. We have announced the final investment decision for the Customer Qualification Plant, which will be the first large-scale lithium-ion battery facility in Norway.
 We have announced the potential development of joint venture Gigafactory-based capacity in the U.S. And earlier today, I also had the pleasure of announcing potential expansion of our ambition also into Finland together with the City of Vaasa and the Finnish Minerals Group.
 An expansion from our Norwegian vantage point into the Nordic region strengthens our supply opportunity to our customers. It strengthens our access to critically important, localized and decarbonized raw materials. It strengthens our opportunity to partner with technology companies and to attract competence to also our Norwegian businesses. So this is a fundamentally strong move for FREYR, indicating again that we want to be a global champion with the Nordic footprint expanding globally over time.
 Next, please. As many on this call have noticed, demand projections continue to grow. Not only are the demand projections in the battery space that of an exponential growth, but also the change in the demand forecasts are increasing exponentially. And a very important point to note is beyond the electrification of transportation, which most people recognize as the core electrification pillar, the need for us to balance out new renewable energy generation and the stress that, that will place on the energy systems globally does require significant amounts of batteries almost at the same level as batteries for electric vehicles to basically store sunlight when the sun isn't shining and to store wind power when the wind isn't blowing and to offer flexibility to grids that will be under increasing pressure when they move from a fossil-based generating system to a renewable energy generation system.
 I cannot stress enough how important batteries are for the urgently required energy transition that lies in front of us. Decarbonized batteries for the decarbonization of these systems up to the tune of 20 terawatt hours on an annual basis is probably the strongest market backdrop the industry has experienced over the last 100 years. The energy system storage side of the equation has more than 500x expected growth relative to where we are today in the next decade. And FREYR's position in this market with our superior technology is particularly well suited for this market, but also a cost competitive solution for the other global mobility and electric vehicle markets.
 Let me then turn to the customer side of things on the next slide, please. FREYR continued to increase our customer base. This is slide we talked about in the Capital Markets update and the numbers keep going up. We are now in more than 60 active discussions with customers and the unmet demand with these customers far exceed our initial targeted production capacity. This gives us a unique opportunity to do an iterative process where we optimize the rollout of capacity in our 4 Gigafactories in Norway initially where the 2 first facilities are the ones that we will develop first. We are now looking into a combined development of these 2 facilities with a modularized rollout of production lines, and this is something that is resonating with our customers. This means in principle that we can be in a position to match production line capacity to specific and targeted customers, which again allows us to optimize further for value and again, create more value for our shareholders.
 This is not the question of whether we are able to sort of unlock sufficient demand to meet our production capacity, this is a question of how much value we can unlock in delivering the world's cleanest and most cost-effective batteries to our customers. The highly capital-efficient nature of our technology, combined with the deeply advantaged location in the Norwegian and Nordic environment allows us to actually make investment decisions on this capacity having an opportunity to play into the notoriously market-short environment that we have in front of us.
 This is a very important aspect of our aspiration. We want to be measured in our approach. We will always talk to our investors and explain to them when we are making investment decisions in capacity, and we will only do that when we feel that we have maximized the value that we can get out of those facilities.
 Next, please. So as mentioned, we have made the final investment decisions on -- decision on Norway's first large-scale lithium-ion battery facility, our Customer Qualification Plant. This is very important from a broad variety of perspectives. One, it shows to our customers that we are real and that we are deploying real capacity in the location that we're in. We're on time, and we're on budget, and we aim to start up production in the second half of next year. This facility will both serve as a qualification facility for our customers, providing them with increasing amounts of optimized products over time. And it's also important for us to further improve the technology that we are implementing, both in terms of process optimization and product optimization. We can increase speed of production. We can implement new raw material solutions, all targeted to optimize value for our customers and optimize value for our shareholders.
 Next, please. To then highlight and repeat the key competitive differentiation features for FREYR, I want to bring your attention to the breakdown of the cost structure for batteries going into the electric vehicle battery value chain on a global average basis in 2020.
 Here, you see the different cost components of the average battery sold to the EV market in 2020. And this goes from raw material extraction all the way through to battery cell production, including the processing of the raw materials to active materials that go into the batteries themselves. What this chart shows is the fundamental competitive advantages of FREYR's value proposition. And that is driven by our advantage location in Norway and the Nordic region, which have access to low-cost renewable energy at scale.
 The second part is our in-license technology of 24M. This is a highly CapEx advantage technology, which offers a dramatic redesign in the processing of the electrodes going into the battery cells. That redesign takes us on an electrode production process from 15 to 5 production steps. And simply put, this means that we're just reducing the sheer amount of input factors going into the production process itself that also further reduces the energy requirement we have, and it reduces the labor requirement we have. That, combined with Norway and the Nordic regions access to top-notch competence across energy, energy-intensive and process-intensive industries gives us an opportunity to further optimize, further digitize and further automate the production systems, again, to drive down costs relative to conventional technology. So we are on the verge of displaying to the world a highly sustainable and highly cost-advantaged solution for an exponentially growing market, and we are in an increasingly strong position to deliver superior returns to our shareholders.
 Next, please. Earlier today, I had the pleasure of announcing that we are exploring the expansion of our Nordic footprint also into Finland. Finland offers many of the same advantages as Norway and in the City of Vaasa, which we had the pleasure of signing an MoU with earlier, we have secured one of the best locations in the Nordic region for potential Gigafactory development.
 We, through that, also have signed an agreement with the Finnish Minerals Group, a very strong local entity, which have deep access to critical raw materials for the battery industry, lithium, cobalt and other metals in addition to being a core part of the very strong and emerging Finnish ecosystem, both on the customer side as well as on the partner side for established large-scale capacity. This is something that puts FREYR in a higher league, allowing us to offer more production capacity into an exponentially growing customer base from more production locations.
 Coupling this with our intention to also expanding into the United States provides FREYR with a very strong supply offering to the global customers requiring large amounts of batteries from a localized supply context. Again, having the lowest cost renewable energy combined with decarbonized and localized raw materials is fundamental pillars for being competitive in this space.
 Let me now turn the call over to our CFO, Steffen, to provide you with some comments around the financial aspects of our second quarter reporting. Steffen? 
Steffen Foreid: Thank you, Tom, and good day, everyone. It's a pleasure to be here today. Turning to the next page, please, and another page. The business combination and capital raise now completed, raising debt financing for the growth of the business is a key focus area. As we put financing in place, we will remain mindful of our commitment to responsible capital management. We will focus on optimizing cost of capital and financial returns while managing financial risk. We will seek to diversify sources of funding and ensure staggered maturity profiles of the debt financing that we raised.
 Our plan is to finance the first commercial plant with bank debt, supported by export credit agencies, multilaterals and/or other financial institutions. And discussions are ongoing with leading global banks for a mandate to raise project financing linked to customer offtake agreements.
 In parallel, we are exploring other sources of financing with exposure to rapidly growing markets and offering low-cost battery cells produced with renewable sources of energy. FREYR is well positioned to secure offtake agreements supporting attractive financing from a wide range of sources. FREYR's favorable position is further underpinned by the strength of its balance sheet, which included $652 million in pro forma cash and cash equivalents as of 30th of June 2021.
 Finally, and as Tom already has alluded to, FREYR is committed to optimizing for value and is continuously seeking to improve capital efficiency by enhancing factory configurations.
 And on that note, I'll turn the call over to you again for closing remarks, Tom. 
Tom-Einar Jensen: Thank you, Steffen. Let me go 2 slides back, please, just to focus on how we're going to deliver on these ambitions.
 Having industry-leading team across all disciplines is core to delivering on our objectives. What is really important about the FREYR offering is that we are combining the best Norway and the Nordic region has to offer in terms of competence in project execution, operational excellence, partnership strategies with the best available battery competence from Asia. We're combining that in a partnership-based way, offering industrial scaling capabilities in the most advantaged region on the planet. This is resonating a lot with partners across the entire value chain of batteries from the raw material providers through to the processing of those interactive materials and other input factors, all the way through to module and pack partnerships, recycling capabilities as well as our customers at the end of the day.
 They see that the FREYR opportunity is built on strong competence from an advantaged location. And this is ultimately what will differentiate us from our competitors. But we ruled on all of our competitors as well because the fundamental backdrop is so strong and the requirement for batteries is so large that a concerted effort to develop a compelling battery industry is something that is also core to FREYR's agenda and also something that our people are very much focused on.
 Let me now move to the last slide to try to summarize the focus of FREYR. We are now delivering on our strategy, and we're taking bold steps to showcase that speed, scale and sustainability are core tenets of succeeding in this space. The fundamental key to all of this for FREYR right now is to optimize our commercial customer portfolio. We're optimizing that portfolio for value. We're matching that with a modularized rollout of capacity, and we're expanding our production footprint into the Nordic region to further enhance our offering to our customers and to attract even better terms and conditions for the raw materials that we put into that production.
 We have made the first investment decision for our first large-scale lithium-ion battery facility through our Customer Qualification Plant. And so far, we're on track to start that up in the second half of next year in line with the budget that we have established for that facility.
 We will, on a running basis, unlock investment decisions in a potentially combined Gigafactory 1 & 2 and roll out capacity, as mentioned, matching customer demand from an optimized value point of view.
 As our CFO alluded to, we are really focused on driving capital efficiency, and we will now also complement our equity raise with debt financing linked to the offtake agreements in the making to ensure that we have the lowest possible cost of capital in rapidly expanding our production capacity.
 We aim to deliver industry-leading returns to our investors, and we are on track to deliver on our strategy. And we are very pleased with our investor base to date and look forward to any questions you might have.
 Thank you for your attention. 
Operator: [Operator Instructions] Our first question comes from the line of Adam Jonas from Morgan Stanley. 
Adam Jonas: Tom, a couple of questions. First, regarding chemistry. There's been a lot of momentum lately in LFP chemistry of teams, in terms of development, in terms of proving the trade-offs between cost, weight, energy density, cycle life, particularly in stationary storage application. So I would love if you could explain -- and I know you alluded to it in some of your materials, the agnosticism of the 24M technology between NMC and LFP, is there any material difference in manufacturing process or treating of the cathode or preparation of those materials of the thick cells or anything else you wanted to highlight in terms of a move to LFP or FREYR's opinion of LFP for the applications that you're addressing. 
Tom-Einar Jensen: So Adam, thank you for that question, and great to have you on the call, and it's an important question and an astute observation, of course, that LFP as a cathode chemistry is increasing in deployment, so to speak. And it is true that the 24M technology platform is what we label chemistry agnostic or chemistry flexible. We can use any cathode and for that matter, any anode material. Any existing lithium-ion cathode and anode material can be effectively utilized in the production system. So it's very chemistry flexible. It is also size flexible, but that's kind of a different question.
 Now to the LFP and the ESS markets, particularly linking that back to FREYR's rollout of capacity. As many on the call might remember, we have an initial strategy of executing 5 consecutive facilities in our location in Mo i Rana, the first of which we are well underway of developing the Customer Qualification Plant. That Customer Qualification Plant will initially start to produce LFP sample cells. And thereafter, we will also be producing NMC-based sample cells for mobility and EV applications.
 On the 4 consecutive plants that follows thereafter, as alluded to earlier in this call, we are considering to combine the development of Gigafactory 1 & 2 and have one infrastructure development with a modular rollout of production lines in that facility. We believe that can provide some substantial optimization and capital efficiency gains and those 2 first facilities will predominantly be dedicated to LFP-based products for the ESS market.
 But the flexibility of rolling out production line after production line offers interesting opportunities to tailor and dedicate production lines to specific customers, but also offers opportunity to mix into that facility, both the production of LFP, which will be our primary focus of Gigafactory 1 & 2, with potentially NMC-based products for mobility and EV applications somewhat later.
 So hopefully, Adam, that answers your question. There is nothing in the metrology or surface area that sort of really makes -- gives us any pause or cause for concern and LFP products is what has been the predominant focus also of the other licensees or the early licensees, I would say, of the 24M family. 
Adam Jonas: And maybe just as a follow-up to that. Can you confirm if LFP is being manufactured on the 24M -- by any of the 24M licensees today? Or would the FREYR application be the first of that chemistry? 
Tom-Einar Jensen: I can confirm that, that is being produced on the other applications today. 
Adam Jonas: Another one, Tom, on the license agreement. We're getting a lot of questions on just details of your license agreement with 24M. And I just want to give you an opportunity to convey the salient points about it, including areas of exclusivity, by region or by end market. And then I have a follow-up on that around the U.S. expansion, where you alluded to some potential changes around the licensing agreement. But could you just summarize the key points of exclusivity, non-exclusivity or where it is and where you it might have to that approach as exclusivity in, say, the European market or in a particular application within Europe that would be helpful. 
Tom-Einar Jensen: Sure, Adam. So sort of summarize broadly speaking, we have a deep services and licensing agreement with 24M. It's an evergreen production license for the technology. Every existing and future developments of the technology, we have right to use. We can produce and sell products anywhere in the world with temporary restrictions in Japan and Southeast Asia, given the existing licensees, Kyocera and GPSC, that is a temporary restriction. So if we were to want to sell products into that area and/or establish production capacity, we could be able to do so, not that we have any immediate plans to do so because we do believe in strong licensees in regional areas.
 When it comes to the exclusivity provision, we have exclusivity to develop and build and produce batteries in the Nordic region for the ESS market in particular. And we also are one out of two maximum licensees in the entire European economic area for the same market segment. That is the ESS market segment. There are no other licensees in Europe. So we are the first licensee in Europe. And we are, as mentioned, on track to develop the first production facility in that regard.
 And given your first question, Adam, on LFP, that fits very well with our strategy and the emerging, let's say, chemistry of choice for the ESS market. 
Adam Jonas: Great. And that's exclusivity for production from the Nordic region? And I just want to confirm and sorry for being overly specific or not easier, but that what's produced in the Nordic region could be sold outside of the Nordic region? 
Tom-Einar Jensen: Absolutely. We can sell these products anywhere, but nobody else can produce these products in the Nordic region for the ESS market. 
Adam Jonas: Just last one for me. I appreciate you commenting my questions. On the U.S. expansion, referring to large industrial conglomerates, I just wanted to -- anything that you could share with us, obviously, not breaking any new news here, on what would be a realistic time line of learning more about that and whether -- as you're having these discussions, would love your views on accessing ATVM or Department of Energy loan program. Your opinions on the infrastructure bill and the EV and ESS related points of that bill and how that might affect your discussions and just -- and then if you could, as I mentioned before, that as you have those discussions, what may -- what are your objectives as far as modifying the license agreement with 24M? 
Tom-Einar Jensen: Yes. So thank you for that question again, Adam. So from a macro point of view, and you know this much better than we do, being much more close to sort of the situation, but it's very clear from our opinion that the energy transition is picking up pace with steroids, if I may, in the United States. The administration's current push for decarbonizing the energy systems in the United States, coupled with the electrification ambition on the road transportation is a very strong catalyst for developing battery cell manufacturing capacity in the U.S.
 We believe, again, that the 24M technology is very suitable for that. And our first sort of push in that direction is obviously for the ESS market, which we believe the U.S. will be the largest market for ESS in the coming decade, and that's why that's going to be a core part of the equation for us. And thick electrodes or thicker and thicker electrodes are more and more viable and possible solutions into the ESS world where you don't require as fast charge. And then you don't require fast charge having thicker electrodes actually make more sense economically and therefore, the relative cost advantage of that in the U.S. context will probably be greater as you move more and more to more, let's say, 4-hour, 8-hour storage, et cetera.
 When it comes to our partnership discussions, I'm not at liberty to disclose any details around that. These conversations are ongoing. Needless to say, the backdrop and the increased focus on electrifying and sort of accelerating the energy transition in the U.S. is a very favorable backdrop with these discussions. We already have a worldwide production license. So we could, on our own, establish those facilities in the U.S., but we are wanting to, as part of our strategy and this is something that we've been clear about all along, we have a partnership-based approach to what we do. We don't pretend to understand the U.S. market nor how to sort of operate in the U.S. market.
 Therefore, we need strong industrial backing and that's what we're looking for with this partner. And therefore, we will be looking to strengthen and/or optimize our licensing agreement with 24M to cater for rollout in the U.S. based on that technology. But that doesn't mean that that's the only technology of choice that we could consider utilizing and taking to scale in the U.S., but that will clearly be a core tenet of our strategy in the U.S. So hopefully, that provides some color to that. 
Operator: [Operator Instructions] Our next question comes from the line of Greg Lewis from BTIG. 
Gregory Lewis: Tom, I was kind of hoping you could talk a little bit about the event path we should be thinking about in terms of signing up customers. Realizing customer conversations are ongoing, the qualification center, I guess, is going to start breaking ground. Should we think about qualification center for the customers needing to be up and running a year from now-ish? Or is it something where some of these potential customers can go to existing facilities that are not run by FREYR, but using the 24M technology in Asia and kind of get comfort there as you kind of look forward to move up and build out your customer book? 
Tom-Einar Jensen: Yes. So thanks, Greg. Important question. So on the customer side, you are right. It is not a requirement that the Customer Qualification Plant is up and running prior to entering into qualification processes with our customers. We're already in that process. The beauty of having, let's call it, sister or brother licensees in the 24M family is that we can actually access both their facilities as well as leveraging initial sample cells, et cetera, for starting initial testing, et cetera, and validation with our customers, which we'll want to do that irrespective of what technology and what customer they ultimately end up buying from.
 So this is an important part for us, of course, for the broader and longer-term sort of qualification journey as well as optimizing and further enhancing the products and not least, optimize raw materials and localized raw materials over time also need to be qualified when they go into the ultimate customers, which again, a big part of sort of driving down cost is to have localized and optimized decarbonized sort of raw material solutions.
 On the customer dialogues themselves, as I alluded to in the presentation, we are now considering to combine the development of Gigafactory 1 & 2 and do a modularized rollout of production line by production line that might give us some space advantages, which might allow us to actually increase number of production lines on the same acreage as we had before. It's too early for us to sort of be very conclusive on that. But what this gives us in terms of a customer discussion is that it gives us an opportunity to tailor or to sort of dedicate specific production lines to particular customers, which is actually quite an interesting and encouraging offering to our customers, which again gives us an opportunity to further optimize for value.
 We can "select" more the customers we want to ensure that we can optimize the long-term value creation of our facilities, which obviously also will be fundamental to unlock project-based or structured financing on top of the equity financing to roll this out.
 So we're very comfortable with the situation as we have it. We are patient in the sense that we want to maximize the value out of the gate for the first facilities. We are iterating on an hourly basis on this as we speak, and we will be coming back to the market with updates on this when we have concluded sufficient offtake to unlock the first commercial facility.
 And again, as per Adam's question earlier, this will be targeted towards the ESS market, primarily LFP-based products, but we have, again, flexibility to sort of mix and match, so to speak, the production setup, and that is an increasingly favorable situation to be in.
 Final thing I'd like to say is that the number of interested parties are going up relative to what we have said before and the volume of unmet demand is also increasing. And just to, again, reiterate to our investor community that unmet demand far exceeds our targeted production capacity. Of course, many are competing for that capacity, but we feel very confident that we will be a very core supplier of ESS products based on LFP chemistry. 
Gregory Lewis: Okay. Great. And then could you talk a little bit more about the decision with the news this morning with the MoUs with the Finnish Minerals Group and then, I guess, the city where it's located and talk a little bit about the decision to do that, just where we are? 
Tom-Einar Jensen: Yes. So our announcement this morning, MoU with the City of Vaasa in sort of semi Northern Finland and the Finnish Minerals Group for investigating the development of giga-scale battery facilities in Finland is just a continuation of our strategy. And it comes on top of and sort of rests on the shoulders of what we're doing in Norway. But it actually also very much supports what we are doing in Norway. This will all be based on available low-cost renewable electricity. But what Finland offers even more strongly than Norway is access to raw materials.
 Norway has a lot of graphite. It has the world's largest or Western Hemisphere's largest processing facility for nickel, copper and cobalt with Glencore's Nikkelverk and Kristiansand. And there are a lot of graphite deposits in Norway, natural, but also synthetic graphite. So the annual part of the equation is very well covered in Norway with emerging development of critical raw materials from offshore mining, whether a high concentration, which have sort of longer-term perspectives of very cost competitive raw material supply.
 But Finland and the Finnish Minerals Group in particular, have very strong ongoing processes and equity positions in nickel, lithium and cobalt developments in Finland, which again, is core to establishing a localized and decarbonized supply chain.
 And of course, the market backdrop against which we are developing is exponentially growing. And every time you ask different advisory firms and analytics houses and/or Bloomberg New Energy Finance or whoever it might be on the sort of predictions of this market, it keeps going up. So we want to also be able to secure the next wave of capacity and expand our offering, but this very much sort of fits into what we communicated to our investors previously. We did say 43 gigawatt hours of capacity in Norway and the Nordic region by 2025, 83 gigawatt hours by 2028, 100 to 150 gigawatt hours by 2030. Since we announced that ambition, of course, the demand projections have increased further and our strategy of delivering decarbonized battery cells based on localized raw materials have been fundamentally strengthened through the announcement today.
 This is early. So we have work ahead of us, techno-economic, let's say, activities, environmental impact assessment studies, et cetera, but the City of Vaasa is an excellent location for this. They have already taken multiple steps to become a relevant location for the battery value chain, and we believe and have subscribed to since the beginning, the Nordic Battery Belt approach, and we do believe that the Nordic region, when developing multiple activities along the battery value chain will strengthen each and every one of the different initiatives. So hopefully, that brings some perspective to why we announced and why we've done what we've done. We're very excited about it. And it fundamentally strengthens the speed and realism in our Norwegian rollout as well. 
Operator: Thank you. At this stage, we have no further questions. I will hand back to the speakers for any further remarks or web questions. 
Jeffrey Spittel: All right. Thank you, operator. Thank you, everyone, for the interest in our story, and we look forward to following up with you over the next several days with calls, and we will talk to you virtually around the road very soon.